Operator: Greetings. I would now like to turn the presentation over to Steven Nell, Chief Financial Officer for BOK Financial Corporation. Please proceed.
Steven Nell: Good morning, and thanks for joining us. Today our CEO, Steve Bradshaw, will provide opening comments, and Stacy Kymes, Executive Vice President of Corporate Banking, will cover our loan portfolio and credit metrics. Lastly, I'll provide third quarter details regarding net interest income, net interest margin, fee revenues, expenses and our overall balance sheet position from a liquidity and capital standpoint. Joining us for the question-and-answer session are Marc Maun, our Chief Credit Officer, who can answer detailed questions regarding credit metrics and loan deferral status; and also Scott Grauer, Executive Vice President of Wealth Management, who can expand on our differentiating capabilities within wealth management, which have led to another fantastic quarter for the company. PDFs of the slide presentation and third quarter press release are available on our website at bokf.com. We refer you to the disclaimers on Slide 2 as it pertains to any forward looking statements we make during this call. I'll now turn the call over to Steve Bradshaw.
Steve Bradshaw: Thanks for joining us to discuss the third quarter of 2020 financial results. This quarter was another, which our fee businesses highlighted the effectiveness of our diversified revenue strategy, as we eclipsed $150 million in net income for the first time in the history of our company. Shown on Slide 4, third quarter net income was $154 million or $2.19 per diluted share. That represents EPS growth of over 9% from the same quarter a year ago, a remarkable outcome given today's very different economic environment. The key items that drove our success this quarter were, a fourth consecutive record revenue quarter from our Wealth Management business, another exceedingly strong production and margin quarter from our mortgage team, no credit loss provision was needed this quarter, net interest margin was stable due primarily to an accretion acceleration that we will detail momentarily, but additional support from highly disciplined deposit pricing and an increase in the effectiveness of force in our commercial loan book. And lastly, we have diligently controlled expenses from the outset of the business impact brought about by COVID-19. Turning to Slide 5, while average lows were flat this quarter, average deposits were up over 6% linked quarter and up nearly 35% from the same quarter a year ago, due primarily to customers retaining higher balances in this current economic environment. Assets under management or in custody were up nearly 4% linked quarter, and 2% year-over-year, again topping $80 billion. We attribute the growth to positive market movement along with better results in the quarter from active sales and asset retention efforts. I'll provide some additional perspective on the results before the start of the Q&A session, but now Stacy Kymes, will review the loan portfolio and our credit metrics in more detail. I'll turn the call over now to Stacy.
Stacy Kymes: Thanks, Steve. Turning to Slide 7, period end loans were $23.8 billion, down 1.5% for the quarter. Small pockets of growth in our healthcare book was offset by pay downs in energy and across our core commercial and industrial loan book. Some of this was continued repayment of defensive draws, and some of this was through the organic decline in economic activity and purposeful deleveraging by our customers. Looking specifically at energy loans, they contracted 6.5% for the quarter. Commodity prices, while improving still make new deals difficult to source in the current environment, that we remain optimistic about our ability to enhance market share long-term. Energy borrowers continue to pay down debt to reduce leverage at this point in the cycle. Despite these factors, we remain open for business and continue to support our customers in the energy industry. This business is more than just lending activities, as evidenced by the record energy derivatives revenue this quarter, as customers continue to aggressively manage their commodity risk. Commercial real estate loan balances were up 3.1% from the previous quarter, largely due to continued friction in a permanent financing market, slowing the level of pay down activity. Looking forward, our outlook for loan growth for the rest of the year remains tempered. The speed and shape of the broader economic recovery will be the determining factor in restarting loan growth. We are optimistic that once pre-COVID normalcy returns to the economy, we're well-positioned in our commercial lending portfolio to grow loans. Turning to Slide 8, we supply the look into the loan deferral status across BOK as a portfolio. As you can see, just 1.2% of total loans remain and the deferral status of any type. At the peak, that figure was 7.5% of total loans, so we are happy to say that more than 80% of the loans that were deferred, have now moved back to regular payment status. Of the loans that remained in deferral status, roughly half are in the commercial real estate portfolio. These are being closely monitored, but short-term the credit quality has held in better than our original expectations. Long-term outcomes will be dependent on the pace of economic recovery and the impact of any additional fiscal stimulus. Also on Slide 8, we begin compile the list of loan segments, we consider more exposed to the economic impact of the pandemic. This group of loans is highly diversified with over 550 loans for an average loan size of less than $3 million. Clearly, the $596 million retail portion of this portfolio remains the most vulnerable today, and we'll continue monitoring these exposures closely in the coming months. While office and multifamily may see impacts here, we believe our geographic footprint will help us in these segments in the long-term, because of the strong in migration over time. Turning to Slide 9, you can see that credit quality remained stable, as witnessed by our lack of credit loss provision this quarter. As we mentioned last quarter, we felt the material reserve build would be largely complete, assuming our economic forecast is in line going forward. Looking at the underlying components, a $1.7 million provision related to lending activities was offset by a decrease in the accrual for expected credit losses for mortgage banking activities, and allowance for credit losses from investment securities. Changes in our reasonable and supportable forecasts of macroeconomic variables, primarily due to an improved economic outlook related to the anticipated impact of the ongoing COVID-19 pandemic, and other assumptions resulted in a $12.8 million decrease in the provision for credit losses from lending activities. Changes in the loan portfolio characteristics, including specific impairment and losses, loan balances and risk rating resulted in a $14.5 million increase in the provision for credit losses from lending activities. Net charge-offs of $22.4 million or 37 basis point annualized is slightly above last quarter. Excluding PPP loans, net charge-offs were 41 basis points annualized. Year-to-date net charge-offs totaled $53.7 million or 30 basis points annualized, well within our company's historical loss experience. The combined allowance for loan losses totaled $448 million, a 1.88% of outstanding loans at September 30, compared to $469 million or 1.94% of outstanding loans last quarter. The combined allowance for credit losses attributed to energy was 4.3% of outstanding energy loans at September the 30. Non-accruing energy loans decreased $34 million this quarter, attributed almost entirely to a decrease in non-accruing energy loans. Potential problem loans totaled $623 million at quarter end, down slightly from $626 million at June 30, a decrease in potential problem energy loans was partially offset by an increase in general business loans and commercial real estate loans. Just a quick note on energy credit, as that is currently the largest driver of overall asset quality for the company. The second quarter of 2020 was an imperfect storm for the semi-annual borrowing base redetermination process, given the impacts to supply from OPEC plus, and demand from COVID-19 all hit in the midst of this process, before borrowers even had time to react to manage their response. The result was a higher level of negative credit migration. While commodity prices rose in the third quarter to a level that we expect to improve the credit outlook, we do not upgrade credit in a wholesale manner solely based on commodity price changes. As we go through the semi-annual redetermination process in the fourth quarter, we would expect positive credit migration, if prices remain stable at these levels. I'll now turn the call over to highlight our NIM dynamics, fee revenues and the important balance sheet items for the quarter.
Steven Nell: Thanks, Stacy. With record net income this quarter, was clearly another fantastic one for the company. Pre-provision net revenue topped $200 million for the second consecutive time, demonstrating the full earnings power of the company. Net interest revenue strength, net interest margin defense, outsized fee revenue and diligent expense management all contributed to our success this quarter. As noted on Slide 11, net interest income was $272 million, down just over $6 million from last quarter. PPP loan fee recognition contributed $11 million this quarter versus $13 million last quarter. Additionally, due to loan payoffs and adjustments for required loans, this kind accretion was $13 million this quarter versus only $3 million last quarter. Net interest margin was 2.81%, compared to 2.83% in the previous quarter. Lower loan yields in the near zero rate environment were offset, primarily by the acceleration of discount accretion from CoBiz acquired loans, which supported net interest margin by 11 basis points versus last quarter, and is expected to normalize next quarter. Additional support was provided by an 8 basis point reduction in interest bearing deposit costs, down to 26 basis points and increased effectiveness of floors in our commercial loan book, as average LIBOR continue to fall in the current quarter. Turning to Slide 12, clearly, earnings this quarter was bolstered dramatically by $223 million in revenues from our fee businesses, as our wealth management and mortgage teams have continued their momentum to post outstanding quarters. Elevated margin in mortgage reflect the continued lack of industry capacity, given the strong demand in the current low rate environment. Mortgage production revenue remains high, just slightly below the prior quarter. Refinances accounted for 54% of total originated this quarter, down from 71%. Our wealth management team put together a fourth consecutive record total revenue quarter, predating the low rate environment we find ourselves in today. This quarter, with a host of complementary business units, we saw incredible deposit growth of over 8% linked quarter, significant financial market based investment management fees and risk management revenues and great synergies with commercial banking, through the insurance arm acquired by CoBiz. Altogether, exceptional performance, and Scott can provide additional detail during the question-and-answer session. Brokerage and trading revenue increased $7.5 million, with commissions increasing $3 million. We continue to see elevated mortgage backed security trading activity out of our Connecticut office. Derivative fees and commissions increased $2.4 million, primarily due to increased hedging activity from our energy clients, a result of our expertise in that lending vertical. Investment banking revenue increased $1.8 million, primarily due to increased syndication fees. As we look forward to 2021, the team is adjusting strategy to overcome the decline in fees from traditional cash investments that are now paying close to zero, providing further optimism for continued growth. Fee revenue now represents 45% of total revenue, up from 40% in the same quarter last year. This once again demonstrates an important differentiating characteristic of BOK Financial. We have long had a diverse revenue mix that provides an earnings buffer in economic downturns because of the counter cyclical nature of some of these fee revenue streams. The net economic benefit of changes in the fair value of mortgage servicing rights and related economic hedges was $6.5 million during the quarter, including a $3.4 million increase in the fair value of mortgage servicing rights, $1.5 million increase in the fair value of securities and derivative contracts held as an economic hedge, and $1.6 million related net interest revenue. Turning to Slide 13, expense management remains prudent with an increase of just under $6 million. We have managed personnel costs by holding the line on adding new positions and challenged the need to fill open positions. Together, these actions worked to decrease regular compensation about $2.6 million this quarter. While this will moderate a bit as our branch network has now opened, we've revised our branch strategy to a hybrid model. This new model will continue to meet the needs of our client, but recognizes that the pandemic has accelerated customer behavior adoption of technology, and we will need fewer staff and locations to meet future need. This is a change we recognized early in the pandemic, and we were able to make real steps towards efficiency. In fact, looking at headcount, we have absorbed approximately 140 positions companywide. We're almost 3% of our personnel base since March, simply through attrition and increased efficiency. Elsewhere in personnel expense, incentive compensation increased $5.6 million, due to $3.1 million increase in cash based incentive compensation resulting from higher fee revenues, and $5.9 million largely related to vesting assumptions regarding the company's earnings per share growth relative to a defined peer group. These increases were offset partially by $3.5 million increase in deferred compensation. Looking at the $2.3 million increase in non-personnel expense, there were several offsetting components. Write-downs on a set of oil and gas properties and a retail commercial real estate property, professional fees and data processing expense were partially offset by decreases in occupancy and equipment expense and other expenses. In addition, the second quarter included a charitable contribution to the BOKF Foundation of $3 million. On Slide 14, our liquidity position remains very strong, given the continued inflow of deposit balances. Our loan-to-deposit ratio is now 68% compared to 71% at June 30, providing significant on balance sheet liquidity to meet future customer needs. Our capital position levels remain strong as well, with a common equity Tier 1 ratio of 12.1%, an improvement from 11.4% last quarter, and well ahead of our internal operating range minimum. On Slide 15, I'll leave you with some general outlook for the near and mid-term that might be helpful. Our loan growth is expected to be soft in the near-term. However, as we put together our budget with the expectation of economic recovery, we'll be looking for opportunities to grow loan once again in 2021. Our available for sale securities portfolio, which is largely agency mortgage backed securities yielded 2.11% during the third quarter, given the sustained low rate environment, prepayments could reach approximately $750 million per quarter. We can currently reinvest those cash flows at rates around 70 basis points to 90 basis points. As we noted, we have had success during the third quarter driving deposit cost down further. We are now below the low point reached during the last near zero rate environment. We believe there is room to push a bit lower over the next couple of quarters, though we feel we are nearing a bottom to deposit cost. The combination of the normalization of elevated discount accretion, pressure on asset yields and less room to lower deposit cost will put some pressure on net interest margin. Our diverse portfolio of fee revenue stream should continue to provide some mitigating impact to overall revenue pressure being felt in the spread businesses. We expect our brokerage and trading activity to continue at elevated levels, given our ability to monetize every part of the fixed income space. Our mortgage business should remain solid from continued low rates and housing demand, with perhaps some normal seasonal slowdown in the fourth quarter. Our disciplined approach to controlling personnel and non-personnel cost will continue. As noted earlier, we've made good progress through the pandemic. We have no plans for a direct reduction of workforce or any corporate wide program to cut existing capabilities or products for our customers. We will have our look for all opportunities to gain efficiency through automation and process improvement. Although there remains uncertainty in the economic environment, we continue to believe the loan loss reserve building is behind us. As I mentioned a moment ago, we feel good about our capital strength. We will maintain our quarterly cash dividends and have plans to restart opportunistic share buybacks. I’ll now turn the call back over to Steve Bradshaw for closing commentary.
Steve Bradshaw: Thank you. The differentiated earnings outcome that our strict credit discipline and heavily fee based revenue model produces during times of uncertainty, can’t be overstated here. As you’ve seen our fee income strains have produced over $600 million in revenue so far this year, and we believe that strength will continue as we have never seen clients with higher appreciation for advice, than in today’s uncertain economy. Business owners, mortgage holders, wealth management clients, corporations, all are facing significant financial decisions as they plan for 2021. Our relationship driven business model is really in a sweet spot between high touch and high tech, it is perfectly in touch with the needs of clients today. We continue to expand existing relationships and acquire new customers, as we believe individuals and companies are clearly evaluating how well their financial partners did or did not help during the last eight months. BOK Financial is uniquely positioned to win incremental market share, and that will be our focus heading into 2021. With that, we’re pleased to take your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Ken Zerbe with Morgan Stanley. Please proceed with your question.
Ken Zerbe: Okay, thanks. Good morning, everyone.
Steve Bradshaw: Good morning.
Ken Zerbe: My first question is for Stacy. If you do seek positive credit migration in the fall redetermination process as you expect, would that actually lead to a release of reserves? Or is that already in your CECL expectations?
Stacy Kymes: There are so many different assumptions that go into how -- I mean, part of that would be what do our updated economic outlook look like, what other credit migration may be happening in other aspects of the portfolio. I think it’s difficult at this point to try to have conjecture around what we think positive credit migration would do to reserve levels as we think about the fourth quarter. I think generally speaking, if you think about the allowance you probably want to get into some level of post-COVID or vaccine environment. We have a lot more transparency around what environment is going to look like, because you think it’d be difficult to try to do something there and then have the economic environment turn against you. I think we feel very good about where we are today, obviously, but I think it would be early to summarize what could happen with the positive credit migration and energy.
Ken Zerbe: Got it. Okay, that helps. And then in terms of the brokerage and trading side, obviously your fee income guidance implies the fees are going to remain strong. I think, Steven, you mentioned that brokerage is going to remain high. I guess that’s been kind of going straight up over the last couple quarters. It's been very strong results. What is it about brokerage and trading that keeps it high at this level going forward?
Scott Grauer: Hi, Ken. This is Scott Grauer. So, let me take a stab at that, when you think about our trading and brokerage activity, while we get probably a lot of headline attention to our mortgage backed securities piece, which is a significant component. It's roughly a third of that revenue. That being said, our activity with mortgage originators is really only about -- its 25% or so. We've had real strong activity in our downstream correspondent financial institution business. Our activity to asset managers has been very strong. And then our other component pieces, we've had significant momentum building in our CMO activity from a product standpoint. We've had good activity with our investment banking, our municipal underwriting. And as Stacey mentioned, our hedging activity has been very strong. So, it's been really across the board in all of our activities in the brokerage and trading piece. Our asset values have rebounded, since the recovery in the equity markets, our recurring fee business, which is roughly 50-50, even on the brokerage side, are back to pre-March levels. So, it's strong across the board.
Ken Zerbe: All right, great. And just one really quick last question. In terms of your expense guidance, you said it's going to be roughly at the same level of sort of last few quarters. If I got my numbers right, it looks like expenses are kind of going up quite a bit over the last few quarters. Are you talking more in line with 3Q or in line sort of with the average, which is lower than 3Q?
Steven Nell: Given the kind of change in revenue mix more towards the fee side relative to the spread businesses, you're just going to have a slightly higher expense base to support that revenue stream. So, I think going forward, you'll see it similar to what we had in the third quarter here. Ken, we did have one item where we caught up, if you will, our incentive compensation accruals because of our positioning around where we fall within the peer group, so we needed to catch that accrual up. But also we didn't put any dollars into our community foundation or, and so we may do that in the fourth quarter. You may not have the catch up on the incentive comp component for the stock based compensation, but you may have a little bit higher contribution to our foundation. So all those things may wash out and end up at an expense level similar to what you had in the third quarter.
Ken Zerbe: All right, perfect. Thank you very much.
Operator: Thank you. Our next question has come from the line of Brady Gailey with KBW. Please proceed with your questions.
Brady Gailey: Hey, thanks. Good morning, guys. So, I wanted to ask about share buybacks. It sounds like you guys will be active in that headed into yearend, stocks at one times tangible. You have a decent amount of excess capital. I mean, I'm looking back at where you guys have repurchased stock in the past. And it's over $80 a share stock. The stock now sub $60. So, how aggressive do you think you'll be on the buyback front this quarter and into next year?
Steven Nell: Yes. Well, you're exactly right. Brady, when I look back, the three quarters preceding the last two where we didn't buy any stock back, and we averaged about 350,000 shares at $78. So, you would have to expect we would be as aggressive if not more, given the current stock price. And given the capital levels, we're stronger now than they were back then. And we feel pretty comfortable with the credit side as Stacy mentioned. So, I think you would expect us to be at that level or more aggressive in the fourth quarter, and then we'll just see where we roll out in the 2021. I don't want to make any extra -- provide any guidance around what we would do in 2021. But, certainly, I think you'll see us back in the market.
Brady Gailey: Okay. And then moving on to the margin. I mean, you talked about seeing some pressure on the margin, obviously, with the accredible yield from CoBiz normalizing, that will push the margin down on its own. But excluding any sort of movements from accredible yield, how much pressure would you expect on the net interest margin going forward?
Steven Nell: Well, let me just take a few of the components. I really think our loan pricing is kind of adjusted. I don't expect that to go down any further. Also, our lending groups, Stacy, Norm Bagwell, others have been able to get some floors in on about 10% to 15% or so of our portfolio, and that's supporting the margins some. So, I feel pretty good about where our loan pricing is. I mentioned deposit costs, I think we can push those down a little bit more. I don't know how far, I wouldn't commit that we could pass through 20 basis points, but we're at 26 average for the third quarter. The last month of the quarter was a little better than that. I think we can keep pushing there some. I think, where you'll see the margin pressure is from our available for sale securities portfolio where you've got, as you would expect some pretty sizable cash flows from that portfolio. I mentioned, I think $750 million a quarter that will come out of a portfolio yield of 2.11 [ph] and roll into securities that we reinvest between 70 and 90 basis points. So, you can kind of do the math around that, and figure out that you've got some roll down in net interest margin in the next few quarters. So maybe I'll leave it at that.
Brady Gailey: Okay, that's helpful. And then finally for me, I just wanted to ask about the expense base. I'm guessing, at some point all the success you're having on the fee income side will start to decline. So maybe next year, as you start to see fees not be as strong, are their continued opportunities you have on the expense base to help offset any pressure on profitability? I know you mentioned, you've already allowed the workforce to be reduced by 3%. Do you think there's more work to be done on the expense side next year?
Steve Bradshaw: Yes. Brady, this is Steve Bradshaw. I'd say that that's an absolute focus for us. And it became significant for us really going all the way back to mid-March, when we returned to a near zero rate environment. We understand the implications of that. We had a playbook from that in the not too distant past when we had the same scenario. And you're right, we've used attrition to bring that workforce down. We've done some targeted reductions, where we've seen efficiencies, currently doing that in our branch network. There's other areas that that we're focused on as well. So that is going to be critical, I think for us in 2021. And the good work we've done, it's been a little bit of math, because to Steven's point, when you see outsized performance for mortgage, you see outsized performance from brokerage and trading. Those are both commission-based compensation businesses. You're going to pay for that, and we're happy to pay for that. And that's going to be reflected in personnel costs. When you strip that away and we've got a very positive trend line in reducing some of our costs in that fashion, if we're going to continue that into 2021. So it's not like we're just waking up today to address that. This is something that we've been working on as a management team for seven months.
Brady Gailey: Okay, got it. Thanks, guys.
Operator: Thank you. Our next question has come from the line of Jon Arfstrom of RBC Capital Markets. Please proceed with your question.
Jon Arfstrom: Hey, thanks. Good morning.
Stacy Kymes: Good morning.
Jon Arfstrom: Stacey for you, back on Slide 9. Can you talk a little bit about how granular the energy non-accruals are and also some of the potential problem loans? Is it a handful of larger credits? Or is it more broad-based than that?
Stacy Kymes: No, I mean, energy overall tends to queue to a higher average loan size, and so there is probably a higher average loan size embedded in both potential problem loans, to a lesser extent than non-accruals, generally, by the time they make it that far, you've had a couple of borrowing base reductions and they tend to be a little bit smaller by the time they get to that point. But we're very optimistic about kind of this fall redetermination season. We feel good about potential loss content embedded here. We fared exceptionally well. If you look at, I think, year-to-date, the last five quarters we’ve kind of been in that 27 basis point range. That feels very good, particularly given what we've been through. But even without that, that would be a good number for us. So I feel good about kind of where we are from a loss content perspective there. There doesn't mean there won't be more. I certainly would expect there to be some level of additional loss content embedded there as we work through those problems. But we feel good about the outlook for sure.
Jon Arfstrom: Okay, that helps. And then, Steven, maybe another way of getting back at Ken's earlier question. What would have to happen to drive a higher provision or to get you back into positive territory? It seems like, loan balances are maybe a little flattish in the near-term and we've got some credit improvement. But what would have to happen, you guys, to go back to a positive provision?
Steven Nell: Well, I think you'd have to have an economic outlook that deteriorates more than -- we have a base case, upside case and a downside case. And I think you would have to have much more the downside case out in expectation for next year, or early part of next year that would throw you back into a scenario where you needed to provide for expected losses in a scenario like that. Perhaps some more deterioration on the energy side, but we're not seeing that at this stage. So, I think it really drives more around the economic outlook, backing up and deteriorating significantly from what we have in our estimates today.
Jon Arfstrom: Okay, that's helpful. And then one last small one, I don't know if you've touched on it. But do you have the mortgage pipeline and maybe how that looks today?
Steven Nell: No, I don't have that in front of me. I've got what the origination activity was, third quarter versus second. It was just slightly lower, not much, but a little bit lower. There's always some seasonality, even in these very low rates that have driven a lot of origination activity. You still have a slowdown in the fourth quarter, generally. That's what we've seen in the past, that's why I noted that. We think mortgage will stay relatively strong, but with some seasonal kind of slowdown. The margins have held up very, very well, in fact, they were up 2 basis points, all the way to 367, I believe, for this quarter. I don't know if that will hold up forever, but certainly, we're seeing still very good activity in the mortgage company during the fourth quarter here.
Jon Arfstrom: Okay. All right. Thanks a lot, guys. I appreciate it.
Operator: Thank you. Our next questions come from the line of Jennifer Demba with Truist Securities. Please proceed with your question.
Brandon King: Hi, this is Brandon King on for Jenny. How you guys doing?
Steven Nell: Hi, Brandon.
Brandon King: Hey, so most of my questions have been answered, but I wanted to touch on loan growth. And I saw that there was growth in the healthcare, senior housing, and senior care. And I was wondering if you could provide more details on underlying trends of that, and expectations for the fourth quarter and possibly even in 2021?
Stacy Kymes: Sure. So healthcare has been an obviously a strong focus for our company for a long time. We got a fantastic team that's focused there. The two really three areas that we focus on are our hospital systems, and that's generally large, high-end credit hospital systems, medical and physicians practice groups and senior housing. And we see opportunity for growth, really, particularly in the latter two. We saw growth in hospital systems in the first-half of the year, as they worked to obtain additional liquidity to work through the pandemic. I think what we would expect to see over the next year or so is that need lessens that their need for liquidity would lessen. And so their need for credit would probably lessen as well, or at least their draw downs. We see good opportunity inside of our healthcare group, both the medical physicians group, as well as the senior housing group. I think that what we've seen in the growth in the near-term has been, as we've talked about in the past, some of the large REITs that have struggled, may divest of certain property sets, and so we have some clients who are the operators of those properties, maybe they sold them their REIT originally many years ago. They continue to operate them. They know the facility, they know the health dynamics of that facility. So they're very comfortable purchasing that facility out of the REIT. And so that's created some opportunities for growth from us, with existing clients with existing properties that they operate. And so that's been part of the growth that we've seen here in the third quarter. And we think, particularly once we get through the pandemic, that will continue to be a very strong opportunity for growth for us, and we're very happy with our growth in our medical physicians practice group. We really -- that was a big part of the acquisition from CoBiz for us on the healthcare front, and they really exceeded expectations and continued to have high expectations from that team as we move forward.
Brandon King: Awesome. And other than the healthcare, are there any other areas of growth that you could be looking to capitalize on going into next year? I know loan demand is pretty soft right now. But are there any particular areas outside of healthcare that you could be looking to take any market share opportunity there?
Stacy Kymes: Look, I think that from our perspective, growth will be tempered until such time is people are very comfortable in the economic environment. And I think that probably is, into a widely available vaccine. But I will tell you, I think that the response that we've seen from our customer base around our customer service and responsiveness, particularly around PPP, I think our opportunities to grow in all aspects of our lending, once the economy begins to grow. I mean, if we were growing loans in a big way right now, you guys would probably be questioning and challenging how we were doing that, where that growth was coming from. But I think when the economy turns, we're exceptionally well-positioned, because our customers have realized that having a trusted adviser and having a person I can talk to, when they need credit, and when they need to work through an issue is worth a lot to them. And so I'm very optimistic about our growth prospects, once we get to the kind of proverbial other side of this pandemic.
Brandon King: Okay, that is great. That's all I had. Thank you very much.
Steven Nell: Thank you.
Operator: Thank you. Our next questions come from the line of Gary Tenner with D.A. Davidson. Please proceed with your questions.
Gary Tenner: Thanks, guys. Good morning.
Steven Nell: Good morning.
Gary Tenner: I wanted to ask a question on energy and I appreciate the positive comments regarding the upcoming redetermination season. But I was curious, in terms of borrowers that may have had shortfalls after the spring redetermination, how successful have they been in correcting those? Or is really, maybe some increase in the borrowing basin in the fall going to be the more positive driver of that?
Stacy Kymes: Well, I mean, it's hard to answer that, because we've probably only been through about 15% to 20% of the redeterminations at this point. And so in many cases, the last time we saw them was in the spring when the prices were significantly lower. In the meantime, they've done things to manage their business reduced costs. In some cases, they've shut in wells, in the early stages that they'll bring back online. So, I think it's a little bit premature to answer that with a lot of clarity, until we've been through this fall redetermination cycle. But based on the credits that we have seen through that process, I think we're optimistic that between a positive price movement and actions of the borrower, that we're going to work through this in a very positive manner, and we don't see lost content in that portfolio. That's inconsistent with what you've seen from us in the past.
Gary Tenner: Okay. Thank you. And then just on PPP, unless I missed it in the press release anywhere. Can you tell us what the fees that were recognized in the third quarter?
Steven Nell: Yes. Gary, this is Steven. The fees were $11.3 million that we recognized in the third quarter for PPP.
Gary Tenner: Thank you.
Steven Nell: You're welcome.
Operator: Thank you. Our next questions come from the line of Peter Winter with Wedbush Securities. Please proceed with your questions.
Peter Winter: Good morning.
Steven Nell: Good morning.
Peter Winter: Obviously, credit is a good story. I was just wondering if you could give a little bit more color on the retail side that you guys called out that you're watching a little bit more closely.
Stacy Kymes: Yes. I'd certainly invite Marc to provide color here as well. Today, we're not seeing real big issues there. We're calling in it out as a risk area, because it's intuitive and we see that from that perspective. But I think in my comments I mentioned that it's held up better than we would have expected, knowing what we know now and given the depth of the pandemic in various markets. So, we're not necessarily seeing credit migration there today, as much as we are calling it out as a potential risk area. In fact, as we dig through that, and as you can imagine, we spent a lot of time in the last 90 days doing that, we actually feel much better about it than we did, when this all kind of started, and we began to kind of call out some of these higher risk areas.
Marc Maun: Yes, this is Marc. What I'd only add is that, from a loan deferral standpoint, we've had two-thirds of our consumer loans and mortgage loans exit from that deferral program. So, they tend to have a little longer request and a little longer ability than most, so we've had very good success in having those migrate back to regular payment.
Peter Winter: Got it. And then, if I can just confirm on the provision expense outlook, Steven. So the way to think about it is kind of a zero provision for the next several quarters, assuming no further deterioration in the economy?
Steven Nell: Well, that's kind of what we see. I mean, we've made the statement that we feel like the reserve build is behind us. We made that statement last quarter, that if the economic environment stayed relatively stable, which it did, in fact, it improved a little bit that we've felt like we wouldn't have to build a reserve anymore. That's kind of the stance we have. Now, who knows what will change. And I answered the question earlier, in this call that, if the economic environment and outlook deteriorate significantly, then yes, we got to go back and run our models and determine if there's more expected loss there. But today, we're not seeing that.
Peter Winter: Got it. And just my final question for Steve. I was just wondering if you can give an update on what your thoughts are of M&A, bank M&A in this environment?
Steve Bradshaw: Yes, Peter. I don't think our stance really changes there. We're always interested in quality organizations, especially areas that we can expand within our existing footprint. As you know, we like the market that we're in very much. We've got some good growth markets where we don't have substantial market share. We could benefit from extra scale. I think realistically, in this environment high quality banks are not as likely to be sellers, with the uncertain credit outlook, with low rates, and maybe calling margin. If you were an owner of a good quality bank, you probably don't see that as the greatest opportunity to maximize the value of your bank. You're probably going to see more scratch and dent type transactions. And while we look at those from time-to-time, we've typically not gone down that route, because our belief -- and I'd say this with confidence, and not arrogance is that I'd rather have the management team focused on growing our own organization, which we've had great success doing and trying to turn around a bad situation in an uncertain environment. So, we are very interested and focused on that as we think about going forward, but I think that the opportunity that we have will probably be limited here in near-term.
Peter Winter: Excellent. Thanks for taking my questions.
Steve Bradshaw: Thank you.
Operator: Thank you. There are no further questions at this time, I would like to hand the call back over to Steven now for any closing costs.
Steven Nell: Okay, thank you. Thanks, everyone, for joining us. I appreciate all your questions and interest in the BOKF. If you have any further questions, you can call me at 918-595-3030, or you can email us at ir@bokf.com. Everybody, have a great day. Thank you.
Operator: This does conclude today's conference. Thank you for your participation. You may disconnect your lines at this time. We hope everyone has a great day.